Operator: Good day, and thank you for standing by. Welcome to the Sprouts Fourth Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Susannah Livingston.
Susannah Livingston: Thank you, and good morning, everyone. We are pleased you have taken the time to join Sprouts on our fourth quarter and full year 2022 earnings call. Jack Sinclair, Chief Executive Officer; and Chip Molloy, Chief Financial Officer are with me today. The earnings release announcing our fourth quarter and full year 2022 results, the webcast of this call, and quarterly slides can be accessed through our Investor Relations section of our website at investors.sprouts.com. During this call, management may make certain forward-looking statements, including statements regarding our expectations for 2023 and beyond. These statements involve several risks and uncertainties that could cause results to differ materially from those described in the forward-looking statements. For more information, please refer to the risk factors discussed in our SEC filings and the commentary on forward-looking statements at the end of our earnings release. Our remarks today include references to non-GAAP measures. Please see the tables in our earnings release to reconcile our non-GAAP measures to the comparable GAAP figures. With that, let me hand it over to Jack.
Jack Sinclair: Thanks, Susannah, and good morning, everyone. We ended 2022 on a strong note with fourth quarter results that included comparable store sales growth of 2.9%, total sales growth of 6% and diluted earnings per share growth of 31%. For the full year, our diluted earnings per share growth was 14%, which is in line with our long-term strategy. Highlights for the year include opening 16 new stores, 60% in our new smaller prototype, growing sales of our Sprouts brand to over $1 billion increasing sales of local produce by over 100%, creating 1,600 new jobs, launching approximately 8,400 new innovative products and digitally connecting with 13% more customers. I want to take a moment and commend our 31,000 team members for driving these results in another very challenging year across the consumer landscape. Their continued dedication and commitment to making Sprouts a place for discovering healthy eating continues to make me proud. In a few moments, I’ll follow-up with more on our journey in 2023. For now, let me hand it to Chip to review our financial performance in the fourth quarter, the full year and our 2023 outlook. Chip?
Chip Molloy: Thanks, Jack, and good morning, everyone. For the fourth quarter, total sales were $1.6 billion, up $84 million or 6% from the same period in 2021, driven by new stores and comparable store sales growth of 2.9%. Comp sales were supported by an increase in basket due to retail inflation, partially offset by a slight reduction of items in the basket. Our e-commerce sales grew 16.5%, representing 11.4% of our total sales for the quarter. During the quarter, we also launched our partnership with DoorDash to acquire new customers and expand their access to Sprouts. DoorDash is now available in every store and continues to grow with each passing month. Deli continue to be a strong performer in the fourth quarter as healthy prepared meal solutions are favored by our customers in-store and online. We experienced relatively strong performances in categories with the most differentiation such as dairy, frozen, grocery and bakery, bulk is also experiencing a positive turnaround as customers take advantage of the value and flexibility our offering provides. Our fourth quarter gross margin was 36.3%, an increase of approximately 60 basis points compared to last year. As you may remember, during the fourth quarter of 2021, our margins compressed as our price changes lagged input cost. This past quarter as we did during all of 2022, we kept our price changes more in line with input costs. SG&A for the quarter totaled $473 million, an increase of $24 million. New stores, additional marketing spend, increases in labor costs and higher commodity prices were the primary drivers. Store closure and other costs relating to non-cash store asset impairments totaled approximately $8 million for the quarter. For the quarter, our earnings before interest and taxes were $62 million. Interest expense was $1 million and our effective tax rate was 25%. Net income was $45 million and diluted earnings per share were $0.42 an increase of 31% compared to the same quarter in the prior year. During the fourth quarter, we opened seven new stores spent $41 million in capital expenditures net of landlord reimbursements and repurchased 1.5 million shares. For the fiscal year 2022, total sales increased 5% to $6.4 billion driven by new stores and comparable store sales growth of 2.2%. Comp sales for the full year were also supported by an increase in basket due to retail inflation, partially offset by slight reduction of items in the basket. Our annual gross margin was 36.7%, up 45 basis points compared to last year. The year-over-year increase results from slightly less promotional mix, managing overall price changes more in line with cost increases and reducing shrink via operational improvements and system support. SG&A expenses for the year increased $107 million to $1.86 billion. The increase is due primarily to additional stores, inflationary conditions driving increases in store costs, credit card fees, and increased e-commerce fees associated with higher sales. The strides we’ve made in improving our labor management tools helped to offset rising labor costs. For the year, our earnings before interest and taxes were $358 million. Interest expense was $9 million and our effective tax rate was 25%. Net income was $261 million and diluted earnings per share were $2.39, an increase of 14% compared to the prior year. During the year, we opened 16 new stores, nine in our new smaller format and closed four. We ended the year with 386 stores across 23 states. Now let’s turn to the balance sheet and cash flow highlights. We ended the year with $293 million in cash and cash equivalents, $250 million outstanding on our $700 million revolver and $25 million of outstanding letters of credit. Cash flow generation remained strong for the year. We generated $371 million in operating cash flow and spent $112 million in capital expenditures net of landlord reimbursements. Our robust cash flow generation allowed us to invest in the growth of our business, predominantly new stores, while also returning cash to our owners through our ongoing share repurchase program. For the year, we repurchased 6.9 million shares of common stock for a total investment of $200 million. Our diluted weighted average shares outstanding were down 6% compared to last year, and we have $412 million remaining under our current share repurchase authorization. Turning to our current expectations for 2023. We continue to operate in a challenging consumer environment, focusing on what we can control to drive meaningful results. One area of focus is ensuring our store portfolio’s ongoing health and profitability. We are pleased with the performance of our more recent store openings, especially the smaller prototypes. We’re also encouraged by the momentum of those newer markets as we begin to densify and establish more brand awareness. In 2023, we plan to open at least 30 new stores, all of which are our current prototype. Back in early 2020, we consider closing some underperforming locations as we shifted our store growth strategy to a smaller, more productive prototype. We consciously decided not to close those stores as the pandemic struck, so our communities would continue to have access to fresh healthy groceries. We recently revisited that decision and as you may have seen in our release this morning, we plan to close 11 stores in 2023. These stores on average are approximately 30% larger than our current prototype and generate negative four-wall cash flow. One store will close during the first quarter as its lease expires and the remaining stores will close during the second quarter. Team members from the closed stores will be transferred to other stores if they so desire. On the supply chain front, we will relocate our Southern California distribution center to a larger brand new facility in the second quarter. In addition to supporting our growing capacity needs, the facilities location will reduce the miles travel to our stores and is in a more robust labor market. There will be special transition costs associated with this relocation. The total cost for the store closings and supply chain transition will be approximately $40 million to $50 million pre-tax, of which close to 75% will be non-cash. With this backdrop, for the full year, we expect total sales growth of 4% to 6% and comp sales in the low single digits. We expect gross margins to be flat to slightly up and slight deleverage in SG&A costs. Adjusted earnings before interest and taxes are expected to be between $355 million and $370 million, and adjusted earnings per share are expected to be between $2.41 and $2.53, assuming no additional share repurchases. That said, we do expect to continue to repurchase shares opportunistically. Both adjusted EBIT and EPS exclude the store closing and supply chain transition costs. During the year, we expect capital expenditures net of landlord reimbursement to be between $210 million and $230 million. Most of the CapEx is for the 30 new stores and the new distribution center. Other areas include technology enhancements, ongoing refresh and remodel expenditures, merchandising initiatives and maintenance. Ongoing, we expect CapEx to be approximately 3.5% of sales annually. For the first quarter of the year, we expect comp sales in the range of 1.5% to 2.5%, and adjusted earnings per share between $0.83 and $0.87. And with that, I’ll turn it back to Jack.
Jack Sinclair: Thanks, Chip. Nearly three years ago, we embarked on a journey under a new strategy, which happened to correspond directly with a global pandemic. As the noise of the erratic past few years begins to fade, our progress is clear. We are a stronger, more profitable company and expect to sustain this business performance. Our mission was to transform Sprouts into a more relevant healthy living brand. We defined a clear cut target customer then sought to expand and market our product differentiation to our customers, reduce our store size to reinforce our farmers market appeal, grow our store base, integrate and expand our supply chain, inspire our team and drive attractive profit growth along the way. Despite all the challenges in the world in the last few years, this strategy has progressed and resulted in a financially stronger company. The past few years, we have reset our margin structure, improved our labor productivity, and implemented needed systems. Since 2019, our gross margins have improved by 300 basis points. We estimate that about two-thirds of this was through decisive actions to promote more effectively. The remaining one-third were operational improvements such as less shrink from an expanded and well-placed fresh supply chain and systems that improved our ordering and in-stock positions. As part of our improved strategy, we intentionally changed our tactics to narrow our focus on our health conscious target customers, and we also made numerous investments in our business, such as increased wages for team members and systems for improved labor management inventory and financials among others. As a result, our EBIT margins improved by 170 basis points. Our three years earning per share CAGR was 24% and our EBIT per square foot increased by 49%. Our ROIC has also improved by 270 basis points, all in line with our strategic goals. These foundational initiatives have allowed us to move onto the next leg of our journey. We have plenty of work to do. To build on this foundation in 2023, we’ll be focused on growing customer engagement, expanding category leadership and product innovation, a more efficient and effective supply chain, and accelerate our store unit growth. On the customer front, we continue to focus on driving engagement with health enthusiasts. Last quarter, we conducted a comprehensive research study to understand better what is most important to our customers post-pandemic. They consistently told us they’re looking for us to help them take new measures to be healthy. Freshness, quality, innovative variety and commitment to sustainability are all key drivers for our customers. These learnings prompted us to pivot our marketing positioning to launch our new Find Your Healthy campaign in January. The campaign connects by sharing several ways customers can create their own health journey at Sprouts and is anchored by what customers tell us they love, our fresh, high quality and innovative products you can’t find anywhere else. This differentiates us and creates a sense of discovery for our customers. As I stated at the beginning of the call, Sprouts brand hit $1 billion in sales late last year. A remarkable accomplishment, largely due to our focus on innovation. We plan to accelerate this growth even more in 2023, you will see additional new Sprouts brand products, an increased focus on seasonal programs and a brand style and packaging redesign that is already showing promising results. In 2022, we invested in growing our convenience meals and plan to double down again in 2023. We bring differentiation to this growing category with higher quality and healthier options. Our customers will find even more chef-driven creations in seasonal offerings, added plant-based and health attribute options and additional family meals. We doubled our local produce sales in 2022 with more than 11% of our produce sales now from local growers. We believe our relationships with farmers, scale and expertise in fresh produce enable us to own and grow this space. That advantage led to the launch of a rescued organics produce program in California, benefiting our farmers and customers and helping to combat food waste. The farmer gets the added benefit of selling produce that is still completely fresh and tasty, but it could have otherwise ended up being wasted all because of a regular shape, sizes or blemishes. So customers can buy delicious organic fruits and vegetables, which simply don’t meet visual specifications at a great price. We also learned that our customers strongly desire to engage with Sprouts more often, especially regarding more convenient occasions. Proof point of this is that our e-commerce growth has been one of the fastest in grocery at 400% since 2019. Building on this last quarter, Sprouts launched a partnership with DoorDash to provide a new channel of e-commerce focused on the convenience of delivery to customers. These channels offer new opportunities for engagement for our high value customers. Lastly, to connect with customers more effectively, we are scaling our personalization efforts to develop a stronger one-to-one relationship. We’re investing significantly with the right partners to build a more robust marketing and technology platform. These investments will continue to be a top priority to meet customer needs for additional engagement. Ultimately boosting customer loyalty. Chip has briefly spoken about investments to create an advantage supply chain from which we can grow. More than 85% of our stores are within 250 miles of our distribution channels up 20% from 2019. This year we’ll be focused on investments at our current DCs, replacing our so-called DC and expanding our Texas DC to account for growing demand while adding ripening rooms to our Arizona, Texas, and Southern California DCs to deliver even better produce to our customers. As we expand our brick-and-mortar capabilities, we are also expanding our supply chain systems, allowing us to leverage our technology better to ensure we have the right products in the right location for our customers to enjoy. This includes a DC replenishment system expansion and perpetual inventory computer assisted ordering at our store operations. We started implementing PICAO in 2022 and I’ve experienced much success produce daily. Frozen and grocery are benefiting on the sales front from better in stocks and optimized inventory levels with more fast moving items and fewer slow movers. We have reduced our shrink by improving terms and freshness from transitioning to adjust in time replenishment model and we have experienced labor savings by allowing the computer to do the work for us. Lastly, on the real estate front, we are expanding with our new 23,000 square foot store and every store opened this year will be in our new format. We’re excited about our robust pipeline of more than 80 approved stores and nearly 60 executed leases. We have already opened four new stores in this first quarter with a plan to open at least 30 stores this year, and we are on track to reach our 10% unit growth starting in 2024. In summary, we remain focused on advancing our strategy to differentiate Sprouts further as a unique specialty retailer focused on health and wellness, while expanding our footprint with an advantaged unique store format. We will also continue efforts to manage all costs during these uncertain times effectively. I firmly believe these general principles will guide us through another year of success and I’ll look forward to sharing our progress. With that, I’d like to turn it over for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Rupesh Parikh with Oppenheimer. You may proceed.
Erica Eiler: Great. This is actually Erica Eiler on for Rupesh. Thanks for taking our questions. So first I wanted to touch on comps here. So comp growth obviously accelerated on a multi-year basis, so I was hoping to get a better sense of what you’re seeing from the consumer here, from a trade down perspective or any other notable changes in consumer behavior lately?
Jack Sinclair: Well, I think the pattern over the past going in the fourth quarter was kind of consistent to what it’s been through the year. We’ve seen a kind of pretty steady traffic, which we’ve been encouraged by, and in terms of the consumer behavior with the level of food inflation, you’ve seen a trade down as we’ve talked about, people have been trading down in terms of both the number of items in the basket and trading down in certain categories. You’ve seen a little bit of a trade down in the protein space, you’ve seen a little bit of a trade down. You can see the strength of our Sprouts brands business. You’ve seen a little bit of a trade into that as well. So I think the consumer behavior in Q4 was pretty consistent to what it was throughout the year of 2022, and I think we’re seeing that same pattern as we go through this year.
Erica Eiler: Okay, that’s helpful. And then we know you have a difficult compare, with the King Soopers strike from last year, and then we’ve seen industry headwinds lately in the vitamin category. So just curious if there’s any more color you can provide to us quarter-to-date trends at this juncture, and then just, any commentary on the vitamin category, performance here.
Jack Sinclair: Well, specifically to the vitamin category. What you’re finding there is the patterns are trending very much around the ups and downs of COVID comparisons from the previous year. There was such extreme numbers in different directions across different years, so you’re seeing that pattern continue. The cold and flu what happens with cold and flu clearly affects the vitamin business pretty significantly as well. So, we see some great months and not so great months. So it’s fairly volatile and it continues to be a very important category to us and we’re very excited about the people that are operating in the middle of that vitamin department. What works really well for Sprouts is in the vitamin department, we’ve got a lot of expertise of people who can really understand, how vitamins and supplements can help our customers. So, we’re excited about the team and excited about what’s happening, but there’s a lot of volatility in that. Maybe Chip could talk a little bit about the broader context of your question.
Chip Molloy: Yes, sure. So as we were going through the end of the year, obviously we’re competing against Omicron towards the end of the year and then into the beginning of this year, and then while we were competent against the King Soopers strike at the beginning of this year. So our comp compares a little bit more difficult coming into the beginning of the year, but we’re seeing it, we’re past that now, we’re steady and you can see in our guidance, we feel pretty good. We’re one and a half to two and a half compliment guidance there for the quarter.
Erica Eiler: Okay, great. I’ll pass the line.
Jack Sinclair: Thanks.
Operator: Thank you. Our next question comes from Mark Carden with UBS. You may proceed.
Mark Carden: Good morning. Thanks so much for taking the questions and nice quarter. So you guys noted that you’re looking to close 11 new stores following your real estate review. Are these stores being replaced ultimately by newer store prototypes and similar geographies? What were some of the local markets simply too weak to support a Sprouts longer term? And then just longer term, how should we think about additional closures in the years ahead and any potential impacts on your long-term 10% unit growth algorithm?
Jack Sinclair: Yes. Well, specifically strategically, when I got this job a few years ago now it seems a long time ago now, we set out a strategy very clearly about the smaller stores would be more effective going forward in terms of returns and what we expected to be able to deliver in terms of returns from those stores. As we’ve looked at the store portfolio, that strategy playing out really made us take a very hard look at those stores that are a little bit bigger. They’re lovely stores that were built by the previous team a little bit bigger and not the kind of, and in certain locations we picked the wrong locations, we would’ve acted sooner on these stores had it not been for the pandemic. We didn’t think it was appropriate to shut grocery stores in the middle of a pandemic in terms of giving access to healthy foods. So the specifics on the 11 stores, you won’t see direct replacements coming in those geographies going forward because they’re probably in the wrong place and they’re probably, the leases aren’t quite where we want them to be, but going forward they’ll always be leases that we’ve got to deal with. But this is a kind of one and done, let’s clear up a big chunk of some of the stores from our strategy that we laid out three years ago. And as I say, we would probably have acted a little bit sooner on these had it not been for the pandemic. Chip?
Chip Molloy: And I’d just add as we go forward, we have a much more robust modeling. We’ve gone we instituted a new system last year. We are mitigating the risk of opening those stores. The new models give us a much better location, sort of main and main and we’re not opening up, 30,000, 40,000 square foot stores.
Mark Carden: Got it. That’s helpful. And then as a follow-up, there’s been some press that one of your largest natural organic competitors has been getting more aggressive on pricing. Are you seeing any ripple effects impacting the broader natural organic space and do you see any more likelihood of competitors becoming less rational near ahead?
Jack Sinclair: Well, we haven’t seen too much irrationality, in terms of what’s happening in our space. We’re very confident that we’ve got a strategy that we can follow and we’re sticking to our guns on our strategy. I haven’t seen a lot of volatility in pricing on outside in our direct space in the natural and organic space. We obviously watch that pretty closely. We’re very sensitive to our produce pricing and with that particular competitor that you’re outlining; we’re in a very good shape with regard to produce pricing. Overall, that’s something that we would pay a lot of attention to, but we haven’t seen anything that causes us too much to worry about right at the moment.
Mark Carden: Great. Thanks so much. Good luck guys.
Jack Sinclair: Thank you.
Chip Molloy: Thank you.
Operator: Thank you. Our next question comes from Karen Short with Credit Suisse. You may proceed.
Karen Short: Hey, thanks very much. Good to talk to you again. A couple questions with respect to your comp guidance and your results in 4Q, can you just talk a little bit about what traffic versus ticket was in 4Q and then how you’re thinking about traffic versus ticket throughout 2023 and then also triangulate that with what your expectations are for inflation in 2023. And then I just had one other question.
Chip Molloy: Sure, Karen. So traffic was just a hair down in the fourth quarter and then the ticket was up and we’re picking that up through both inflation or AUR, which is offsetting a slight decline in units. As we go into the year this year, we feel good about traffic. It’s so far year-to-date, it’s up slightly. Our expectations are that we’ll maintain traffic pretty steady throughout the year. Our expectations are inflation will still be with us year-over-year, but it will start to decline as we progress into the back half of the year. And at the same time as the sequential units for basket slows that year-over-year, that will improve and net-net you kind of get into that low single digit range.
Karen Short: Okay, that’s helpful. And then just wondering, when you look at sales growth versus EBIT growth, obviously I know what you’ve given in terms of margins, so you did say, I think on 3Q that you thought EBIT margins would remain more or less steady in. It looks like you’re kind of guiding to slight decline in EBIT margins. So I want to ask about that, but I also just want to talk just broadly about what you think the right relationship should be on sales growth versus EBIT growth.
Chip Molloy: Well, fundamentally yes, we did guide in a way that suggests that operating margin will decline here. We could we’ll get flat to some slight increase in gross through the year SG&A, we’re managing it really tight. We’re working it really hard as you know, with most of the retail landscape. Managing costs is becoming the challenge of the day and we’re working through that. We’ll probably have a hair of the leverage this year as we go forward. To answer the second part, I think it’s a healthy, we think it’s a healthy place to believe that our operating margin would essentially stay flat and that our sales growth and earnings growth will grow appropriate accordingly.
Karen Short: Great. Thanks very much.
Operator: Thank you. Our next question comes from John Heinbockel with Guggenheim. You may proceed.
Anders Myhre: Good morning, Jack, Chip. You have Anders Myhre on for John Heinbockel. Nice results this quarter. So you plan on enhancing customer engagement in 2023, calling out the launch of your new marketing campaign and further personalization efforts. With that, we were curious on where we stand with the loyalty program when it might launch and how much incremental wallets shared might drive. Thank you.
Jack Sinclair: Yes. Thanks for the question. We’re spending a lot – we’ve done a lot of different experiments over the past couple of years in terms of trying to get at our target customer and encouraging them to spend a little bit more. We’ve made some progress in different categories and made some progress at different times of year, which we’ve been encouraged by. We’re looking at investing a little bit of money to try and understand what we can do to inspire our customers to come a little bit more often or spend a little bit more. We’ve got a customer base that we’ve talked about in the past that that really in terms of affinity to the brand, really truly love Sprouts and we’re encouraging – we’re looking at tactics as to how we can get them to extend and spend a little bit more on the one hand. And on the second hand, how do we get more customers who look like the customers that are loving us at the moment of which we know there are lots out there. So the work we’re doing in the broader customer communication and customer engagement is one, trying to work directly with those customers that love us, and two, drive get at more customers who should be loving us. And as we’ve talked about, there’s a significant opportunity for us to increase the number of people who are giving us the information. We’re pretty low relative to competitors in terms of the number of people that scan their information when they come through the register. And how to do that will be about making an experience for our – for those customers that differentiate Sprouts so that they can almost become a member of a club. And the grocery environment for loyalty we’re seeing to be very different for us going forward. Our interpretation of what’s happening with loyalty cards, if you like in the grocery space is that it’s a pretty, it’s a zero sum game and everyone’s got the cards and nobody – we don’t want to be the next card in the wallet when people – or the purse when people open up, when people go through the register. So we’re working very hard at becoming differentiated in that space. And the timing of that will – we’re going to invest some money in it this year. We’ll make some progress on it this year, but this is going to be a multi-year effort to get us where we need to get to.
Anders Myhre: Thank you.
Operator: Thank you. Our next question comes from Edward Kelly with Wells Fargo. You may proceed.
Unidentified Analyst: Hey guys, you’ve got Anthony on for Ed. Thanks for taking our question. So first, I wanted to ask about trade down. I know you guys said bulk sort of seeing a turnaround as people care more about value. Can you just talk a little bit more about what you’re seeing from consumers in terms of value seeking behavior and then how does that dynamic typically impact you based on what you’ve seen historically?
Jack Sinclair: Yes. Well, I think what you – I think it’s across the industry you’re seeing some trading down across the Board. One of the things that we’ve picked out, because certainly when you look back at the history of Sprouts and you look forward, people kind of migrate to bulk a little bit because it allows them to get the portion control and allows a significant price advantage per pound against equivalent things in packaged parts of the store. So we’ve got a pretty extensive range in that space and we’ve seen some encouraging trends in that category as people move into that. And I think it’s partly economics is partly because the team have done a really nice job in trying to put the right products in the right place at the right time in that space. So we’ve seen that, as I said a little bit earlier, we’ve seen a little bit of a trade down in the protein space across the – across different proteins as people migrate to slightly cheaper cuts in that category. We’ve seen some trade into Sprouts brand, which I think is a combination of new products that we’ve put into that space and this sort of chasing for a little bit better value as you go through the assortment. One of the things that happens in our environment, probably differently to the more traditional grocery environment is. We’ve got customers who are very focused on the attributes in the products that we sell very focused on, we sell more plant-based milk than dairy milk. So if you’re a plant-based chopper, you’re unlikely to translate to places where you can’t buy the whole plant-based. So the elements of trading down in our environment I think is a little different to what it is in other places, but we are seeing that trend across our customer base coming into the store, if that helps in any way.
Unidentified Analyst: Yes. That’s helpful. Thanks. And then I also just wanted to ask about the share repo. You guys have been able to purchase quite a lot of stock over the last couple years and you’re still sitting on quite a bit of cash, but you’re also accelerating unit growth. Can you just talk about how you’re thinking about the prospect of additional repo this year?
Chip Molloy: Yes. Well, we’re always going to invest cash in the business first. As we start to get closer and closer to that 10% unit growth a year, I suspect that we’ll be around 3.5% of sales or CapEx, which still gives us a lot of cash. And we’re a share repurchase friendly company. Our goal is to try and see if we can reduce our share count anywhere from 4% to 6% a year.
Unidentified Analyst: Got it. Thank you.
Operator: Thank you. Our next question comes from Krisztina Katai with Deutsche Bank. You may proceed.
Krisztina Katai: Hi, good morning, team. Congratulations on the nice results. Wanted to go…
Jack Sinclair: Thank you.
Krisztina Katai: Just wanted to go back to the fourth quarter complements and which was really nice to see that step up especially coming in better than even what your guidance called for. So how much of the improvement do you think is related to Sprouts specific actions that you are doing on merchandising and differentiation? And just overall marketing versus the overall macro with just a little bit less commodity pressure on the consumer really outside of food inflation?
Jack Sinclair: Well, I think we always talk about what we can control and what we are doing within it. And we saw a strong end to the quarter, which we were encouraged by. We think firstly, we were much better in stock in the holidays done when usually are partly because of the focus of the team on some of the implementation of some of the systems that we’ve been talking about. So certain categories, we saw a really strong end to the quarter, I think because of the PICEO [ph] investment. So you saw our grocery business strong, our dairy business strong, one or two of the key seasonal businesses were strong. And we think we could – next year there’s a platform to do even better seasonally as we chase the volume in that space. So first of all, I think in stock was better and we’re getting better at managing that both at the store level and the distribution with our distribution partners. So we think we probably take, I would say that as much as anything else could. The other piece, I think we made some nice experiments in our marketing space. We did stimulate some business going into the holidays. Some specific activity that I think helped us a little bit in the fourth quarter going into the holidays or company against more traditional grocery businesses we don’t have those huge peaks for Thanksgiving and the holidays that other companies have and I’ve always seen that as an opportunity for us. And I think we saw the first kind of up the first parts of that coming alive in Q4 or as we work through that. Some of the category work I think has been pretty exciting. We’ve seen some pretty strong, our meat business is come a little bit better than maybe we expected to initially. So probably some good category work, some good in stock work and a little bit of marketing. We think we did a little better at the end of Q4 than maybe we had indicated in our discussions previously.
Krisztina Katai: That’s great. Thank you for that, Jack. And I guess just on the unit growth, it’s nice to see you reiterate those 30 new doors for the year. You also talked about the model now that you’re using for real estate selection just being much more precise with forecasting these new openings. I guess, what can you share in terms of how these new stores are opening up. And as it relates to improving the unaided awareness, I guess, where are you on that journey to get that number up in these newer markets and what is the gap? Like how does it compare to established markets like in Arizona and California versus if we say Florida and Mid-Atlantic?
Jack Sinclair: Yes. You asked a lot of questions there. I’m trying to work them through in my mind. The first thing as we introduced and I’ll let Chip contribute as well to you. The first thing is the new model that Chip talked about in one of the answers a little while ago. We’re much more comfortable that it’s robust and it gives us more confidence. And we’ve identified a lot of what we call seed points right around the country. And as long as they’re within 250 miles of our distribution center, the real estate team are chasing that hard. And we know there’s plenty of opportunities for us to keep this 10% growth plan that we’re going to hit in 2024 and we’ll hit – we’ll be able to do that for a long period of time. And we’re feeling more confident about the model. Why are we feeling more confident? It always takes a little time to – in a real estate change of strategy from a bigger store to a smaller store, there’s always a pipeline that you’re working your way through. And I’m kind of – we’re really – this year all of them will be in the size of stores that we want them to be. And the first four that we’ve opened, we’ve been very encouraged by and it’s a very early data point, but we’ve been encouraged by the first four. And those have opened in both established markets and non-established markets. We put a higher investment hurdle or non-established markets, and we’re pretty confident that this model that we’ve put in place is giving us more confidence going forward that we’ve got, we’re picking stores in the right place with the right mix of people who look like our target customers. So that’s encouraging. And in terms of the specifics you’re asking about new markets and how we’re performing on it. I’ve been delighted and just shout out to the team in Tampa, where it is a market that we were pretty immature in a couple of years ago. We’ve now got decent critical massive stores in that market. And we’re seeing that what you should start to see in terms of two years and three years comes, I mean, it’s not a data point that you can extrapolate across the business, but there’s certain data points in our unestablished or less established markets in Florida, particularly that we’re feeling comfortable about. And in some elements of the Mid-Atlantic, we’ve seen some – when you get to the two, three-year plan on some of these stores, it’s encouraging. And when you get critical mass, when you get enough stores all in the one place, we get a strength both in terms of being able to recruit, customer knows who we are. And from a marketing point of view, you can get efficient on your spend. We’ve got a lot of work to do to really make sure that people do know who we are in unestablished markets and the marketing team are working hard to that. Chip, do you want to say something?
Chip Molloy: I’ll just follow on a little bit. When I think about the strength of the quarter, we had a strong quarter in California, but the other places where we’re seeing strength Mid-Atlantic and Florida, where we’re really starting to get that brand awareness, we’re starting to see the strength build and over indexing as you would expect in those markets. But it’s now encouraging. It feels like it’s – we’re starting to get that brand awareness.
Krisztina Katai: That’s Great. Thank you for answering all of those questions. Good luck.
Jack Sinclair: Thanks, Krisztina.
Operator: Thank you. Our next question comes from Kelly Bania with BMO Capital. You may proceed.
Ben Wood: Hi. This is Ben Wood on for Kelly Bania. Thank you for taking our questions. We first wanted to discuss the comment on the trade between units and basket increasing potentially as inflation comes off a little bit, if you don’t mind. It seems like in general that grocers are guiding to a pretty meaningful comp deceleration as a inflation potentially abates. What are you guys seeing that gives you the confidence that units will accelerate throughout the year to potentially offset that expected slowdown in inflation? Anything to help us think about units and basket drivers would be helpful?
Chip Molloy: Ben, for starters, our expectations are not units will accelerate in the basket. Our expectation is that the sequential bleed of units will slow and mitigate. And when you do that year-over-year, your compares get to where it’s not a negative year-over-year. It’s a flat or flat that even could be slightly up. But that’s our expectation. We don’t expect as inflation comes down that will accelerate those units.
Jack Sinclair: And we’ve seen some data points that would support what Chip just said, certain categories you’ve already seen kind of big dilution in inflation. It’s not that it’s gone to deflation, but it’s not been as much inflation. So categories like the meat category where you’ve seen a kind of flattening out of inflation. The relative – and again, just to emphasize Chip’s points, the relative reduction in units per basket slows down. And that just from a math point of view, adds back to the number that we need going forward. So that’s the basic assumption in it. And I think if you look back in history, and it’s always dangerous to go too far back, when you see changes in price – elasticity changes when price inflation dilutes. So I think we’re feeling that there’s enough data points to give us some confidence in how we’re articulating how our basket’s going to evolve going forward.
Ben Wood: Great. That’s super helpful. And then I just wanted to talk about SG&A a little bit, it seems like SG&A growth in 2022 came in a little bit ahead of expectations. So just wondering if you could walk us through the puts and takes there and how that compared to your plans. And then just looking forward, how’s the current labor environment and what is your forecast going forward and what’s contemplated in guidance?
Chip Molloy: Well, as it relates to SG&A for the – for this past year, I think we were very articulate in the script, but SG&A were fighting labor cost, we’re fighting that but we’re managing that. We’re managing that through both operational improvements that we’ve made in our stores, the movement of ours. So we’re managing through that. But certainly it’s a pressure that continues on the cost per labor hour. We’ve seen cost increases on supplies that directed the store source. So not resellable stuff that we need to do packaging type stuff for meals, et cetera. So we’ve seen cost increases there that we’re working really hard and manage against. And then the other side of SG&A as our e-com business has outpaces our business and growth. There’s e-com fees that hit the SG&A line. So those are kind of the big areas. And of course, new stores hit the SG&A line as well. It’s going to be kind of the same battle going into 2023. We’re going to continue to work through those supply lines. We’re going to continue to – we’re going to have more stores next year than we had this year that we grew. So as you accelerate the number of stores that you open, that puts a little bit of pressure on the SG&A line. And then cost for labor hours can something that we’re continuing to battle. But I do think that it’s starting to – tide is getting to where it’s obviously labor wages don’t come down, but the rate of growth has slowed. And we still have other opportunities within the SG&A line to try to manage through that. But net-net it’s a challenging environment there and we’re working it really hard. We do expect to slight some slightly leverage this year, but ongoing, our goal is always to try to keep it in line with sales. And the broader labor environment that you touched on in your question. It’s an interesting kind of dynamic as we’ve, again, playing out from the pandemic. We’re finding it. We’re getting more applications than we’ve ever had. We’re getting better quality applications than we’ve ever had. And that’s something that’s changed fairly substantially over the last six months or so. And that kind of supports Chip’s point that the pace at which a wage inflation has gone up, it’s likely to –it’s not going to go back down and nor would we want it to, but it’s likely to slow down in terms of what is going to affect going forward. And we are very focused on retention in our business and working hard to make sure that the good people that we have in our stores. We can retain them and get to a better level in that. And that’ll help our SG&A as well going forward. But it’s a very volatile labor environment, and we, our teams are working very hard to make sure we get the right quality people in our stores. And as I said, in fact that applications are going up is something that I think sends us, is a bit of a message that that’s not just for us, that’s across the marketplace. So, I think the wage pressure from labor is probably going to dilute a little bit going forward.
Operator: Thank you. [Operator Instructions] Our next question comes from Kendall Toscano with Bank of America. You may proceed.
Kendall Toscano: Hi, thanks for taking my question, and congrats on that great quarter. So the first thing I wanted to ask was just more of a clarification on the – around the 11 store closures. So you mentioned that these are in larger formats versus the new format you’re going with. Can you just remind us now that you’ve been opening stores in this smaller format for a few years now, what the kind of breakdown in the portfolio is between the smaller format and the larger format stores? And then I guess the clarification kind of is just around how should we think about the 11 store closures this year versus you guys potentially reevaluating the portfolio going forward and maybe deciding to close additional on underperforming stores? Or is this kind of just really a one-time thing?
Jack Sinclair: Specifically to the question where, as we said earlier, this has been part of our strategy going forward. How do we move from some of the building of stores going forward? Our plan is to build them at 23,000 square feet. We’ve only really got that moving in the last six months to nine months relative to the strategy that we outlined two years or three years ago. We didn’t, some of these bigger stores that weren’t performing in the way we would want them to. We would probably have closed them before now because of the strategy that we had in place. But it would’ve been the wrong thing to do in the communities that those grocery stores are operating in given what’s happened in the last couple of years. But this is a – the intention behind this is, let’s get this out the way. Now, there’ll always be one or two stores going forward around if the rent goes up or the leases aren’t right or so there’ll always be one or two things going forward in any portfolio. But this is the big analysis of our portfolio that we did early on, and we’re very comfortable that this is a kind of as close to a one and done as it can be without one or two other things. One or two things that might happen around leases or something like that. But it’s not that we are seeing a significant, this is not part of an ongoing exercise. This is a kind of, as I say, a one and done thing. Chip, you want to just share?
Chip Molloy: Yes, I just might be a little bit of a pile on. But if you go back to 2019 and when we started to shift our strategy and thought about it very hard, very hard, we were building boxes at that point. There were over 30,000 square feet. They were very expensive and we felt like it was a better economics to build them smaller. We were convinced and are still convinced that we wouldn’t lose sales by having the smaller box. They were just too big and unproductive. And so we evaluated it all at that point, we also went through the entire list of stores that were where we were going to build them, but yet they were bigger. And in those cases where we could get out of the potential lease, we went ahead and moved away from those in 2019. And those where we couldn’t, we tried to scale those back as, as much as we could to smaller boxes. So we have a kind of a, I’ll call it, we were sort of in the middle of this strategy where we actually built some boxes that weren’t 32, but we got them to 25. We got them to 24. But now we’re in a place where everything we’re building is our new prototype, very close to our 23,000 square foot, thank goodness we decided to build them smaller given the cost increases that have happened over the last couple years on construction costs, et cetera. So, we feel really good about where we are. We’ve got some prototypes in the ground, they’re doing well. We feel really good about the stores that we’ve just recently opened, the ones that we’ve even opened this quarter. They’re coming out of the blocks in a really good place. And we feel really good about it. As Jack said, this is sort of the whole portfolio. Of course, we might close, we’re getting to become an old enough retailer and a big enough retailer that you’re, of course, every couple years or every year or so, you might have one or two that you just, where the leases have expired and you don’t really want to renew it or the trade areas moved. But we won’t see any store closings of this magnitude anytime that we know anytime in the near next several years.
Kendall Toscano: Got it. That’s helpful. Thanks. And then one other question it was just on the, in terms of January trends something we’d seen in the data is that it looked like there was a bit of a shifts away from food at home spending towards food away from home spending in January. I know you mentioned traffic being up quarter-to-date for 1Q. So, I was just curious if you could speak to whether or not you’d seen anything like that with your customers?
Chip Molloy: Well, our business first coming out of the blocks in January, again we were competent against the King Soopers strike in Colorado. We have several stores in Colorado. We were also competent against Omicron. So, we saw the comps were weaker in the beginning of the quarter as we expect they’ve improved since traffic’s been steady though even we’re positive traffic even against those comps last year that I just described. So, we’re encouraged by that. And when you think about our deli business, which has been a very positive business for us both the last year and it continues to be strong going and this year as consumers are looking for prepared meals quick to be able to, it’s a savings of time, but our deli meals are really high quality. They’re good for you, they taste great. And so that’s another business that you can see where the consumer is they’re chasing that idea of a complete meal at home, but easy to make. And I think the contrast between food at home and food away from home; it’s kind of getting blurred a little bit by categories like the meals thing that we’ve got is convenience. It seems to be driving the biggest influence here so that, that we think we’re well placed and we’re certainly doubling down and investing in both equipment and cabinets and product development to make sure that we are hyper convenient within the context of this healthy target customers that we have. So as I say, I think the fusion between away from home, and in-home is kind of getting a bit blurred.
Operator: Thank you. This concludes the Q&A session. I’d now like to turn the call back over to Jack Sinclair for any further remarks.
Jack Sinclair: Well, thank you everyone. Thank you to everyone for the questions and thanks for everyone this listening begin on the call. We appreciate your interest in our business and we look forward to updating you throughout the year as we go through the 2023. So take care everyone. Thanks so much.
Operator: Thank you. This concludes today’s conference call. Thank you for participating. You may now disconnect.